Operator: Hello, and welcome to the Agfa Full Year 2024 Results Conference Call. Please note this call is being recorded. [Operator Instructions] I will now hand you over to your host, Mr. Pascal Juery, CEO, to begin today's conference. Thank you.
Pascal Juery: Thank you very much, operator, and good morning, and welcome to everyone attending the call. I'm sitting here in Mortsel with our CFO, Fiona Lam; my colleagues from the Executive Committee and Viviane Dictus, in charge of Investment Relations. And we are going to walk you through, Fiona and I, our Q4 and year-end results before opening to questions first in the room and then to the analysts and the press on the phone. So let me start by saying, well, to make a long story short, I think Q4 and also '24 is showing actually record results for the three growth engines of the group, HealthCare IT, Digital Printing Solutions and ZIRFON, all had record years and record Q4 quarter where we've seen an acceleration of the growth. And I would like to note that indeed, we are a company with a strong seasonality because we are generating 43% of our EBITDA in Q4 actually, and that stems from the business seasonality, especially in HealthCare IT and also in the businesses where we have equipment sales involved like DPS, Digital Printing, but also, in fact, DR in radiology. So Q4 is of critical importance. And I believe you've seen that we did a record Q4 for all the growth engines. At the same time, we are also addressing the challenge of the other part of the company. I was reading this morning in the tape a tale of two companies. And where we are one company, but with distinct indeed activities and the film decline has accelerated in '24. We have put in place a transformation program to address this state of the market that is now ready for implementation, and I'm going to come back with more details on this. So overall, HealthCare IT had a record Q4 and a fantastic year where we launched our cloud solutions successfully and where customer satisfaction and order intake are the best, I would say, testimony to our growth -- our successful profitable growth strategy in the business. DPS also had a very good year, boosted by the growth engines of DPS and ZIRFON. Radiology, of course, was strongly impacted by the decline, especially that we've seen in the medical field market. DR is still growing and growing very nicely, digital radiography, but cannot make up for the decrease in the films. So that's a bit the key messages I would like to convey for the year. Now if I turn to numbers and look at the sales, well, Q4, a nice growth compared to last year. But again, a tale of contrast where you've seen significant still decrease in radiology during the quarter and 8% growth in HealthCare IT and 15% growth in DPC. If you look at the full year, it's pretty much the same trend, except that, in fact, Q4 has shown an acceleration of the growth, but the trend is still there, a significant decrease of our film activity, offset by a significant increase in DPC. The decrease for the full year of HealthCare IT stems really from, I would say, lower-margin businesses, namely hardware and is testimony to the market moving partially to the cloud, in fact. So meaning our customers -- some customers stopped buying hardware in anticipation of their move to the cloud, and it has a short-term impact. But if I look at EBITDA, again, same as sales growth. For the full year, you've seen a very nice growth of DPC and HealthCare IT and a steep decrease for radiology. If you look at Q4, the trend is even amplified actually. In fact, most of the growth has been accelerating for our growth engine for the year. One comment, the radiology situation on the film is being addressed through our transformation program. However, getting in place such a program means there was almost very limited impact in '24. The impact will really start in '25. So we are bearing the weight of this decrease fully in '24. Now if I take a step back and look at the past five years, which is, I think, extremely important for a company like us in full transformation. You see the direction of travel. You see the tail of -- yes, I mean, the film business, but here, it's not only the film business, but our chemical business and our DR business as part of this gray bar as well. You see a decrease, 3% decrease CAGR well -- average in the past five years, while our growth engines are growing 9% in the same period. And I would tend to tell you that actually the growth has only accelerated in the past two years actually. If you look at EBITDA, you see the same story of the transformation of the company. In 2020, most of the profitability of the group was related to the film. It has decreased significantly in the past five years, while we were growing actually the growth engines. And again, these five years are not equally creative. Of course, we've seen an acceleration of this trend in the past couple of years as we have put in place all the elements of success for the growth engines in the earlier years of the plan. Now we can start seeing some of these benefits. I also want to jump immediately on our transformation program for the film. So it's -- let me tell you, it's not only a cost-cutting exercise that we are doing in this transformation program. We are also changing the way we work. We are stepping up our operational excellence, projects and we are considerably changing the way we operate the plan. The good news is we have a social plan signed and agreed with our social partners. And I have to say it's also a testimony of the ability we have to work in full partnership with all stakeholders. We did it without any conflict or any day of strike, which was not a given -- given the size of what we are undertaking in this program. We confirm the €50 million plus recurring cost savings impact. It will start kicking in, in a significant way in the second part of the year. The time to implement, we are just starting actually now to implement. I confirm it's a cash accretive program. Restructuring costs, we told you that we were estimating about €50 million. In fact, it is €32 million in our P&L, a little bit more in terms of cash, €37 million. As you see, the expected cash out is pretty well spread out for the next year, which is also one of the reasons we can be accretive for the program. So very pleased with the plan. We are now in implementation phase, and we'll give you a regular update of where we are. I'm going to turn to you, Fiona, to comment on the P&L.
Fiona Lam: In terms of the P&L, the numbers, sales and top line and bottom line, Pascal, of course, already highlighted quite a lot. You have heard them already now. Thanks to the growth engines step-up in both top line and bottom line, you see largely compensating actually the fixed cost coverage losses we have in radiology. So you see our gross profit is relatively stable. So that's good to see that we have been able to keep our gross profit percentage at stable like the year before, even though we have lost quite some volumes on the top line on a total year level. And also with the good cost control of our operating expenses, basically, with the inflation, we were able to reduce it €2 million, keep the full year also quite stable. So we see we post a decent, let's say, adjusted EBIT and EBITDA level for 2024. This -- the top line that we have lost, of course, cannot avoid that the volume impact still has certain bottom line EBIT impact as well. If you go from the adjusted EBIT to the operating result before tax, there, we have quite a significant amount of adjustments on restructuring and one-off nonrecurring business. This is expected, largely the €65 million in Q4 related like Pascal said, €32 million to the restructuring, which we were planning expected, is actually good news because this is lower than what we originally thought of. It's a cash out item. We also know already in advance with the acceleration of radiology, we would have to reevaluate the impairment of the fixed assets of radiology, which is not a cash out item, but we know we need to do that for our balance sheet. So we have impaired radiology largely all the dedicated assets, €24 million in Q4. Those are the biggest items of the postings of the €65 million in Q4. Plus, of course, we also still have some smaller ones like Germany, we managed to actually close -- announced to close down the site in radiology areas as well. So we also booked €5 million closure of that site of Germany and some other et cetera. The financing cost is quite stable. We have been quite stably compared to last year. There's no major accidents or expectations. We are not going up or going down. So it's quite relatively stable. And that led to our net financial results still with a loss of €75 million. On the free cash flow, Q4, like EBITDA was the 43% of the year free cash flow for Q4 at Agfa is also extremely good. You see we have €35 million positive free cash flow, largely driven by good positive EBITDA results, but also significant reduction of our net working capital in Q4. So that has led to a positive free cash flow of €35 million. Unfortunately, if you look at the full year, we are still at minus €46 million. You see we have a good reduction in Q4 on the working capital compared to 2023, we still are slightly higher than what we ended in 2023. So we have a build of working capital of €18 million. Some of them are also related, of course, in the Q4, higher sales value led to a higher accounts receivable. Good thing is that a big part of this consumption of the cash is the conscious planning on the CapEx investment for the growth of the future. So you see in the year, we still have planned €45 million investment. Large part of that, of course, is also the ZIRFON investment on the site here in Mortsel. And then we have, of course, continue to invest in the IT infrastructure, some of the additional energy sustainability investments as well on the energy side. You see we have still quite a large CapEx investment which we invest for the future of the business. And we have also a positive contribution also on the provision and others of €16 million, which is linked to largely to our strategy going forward for our Agfa finance strategy, which used to have in the past, finance, let's say, long lead customers, say, acting like leasing companies for our customers. This strategy do not fit our current strategy anymore. So we actually would amortize and try to phase out the strategy. So in the coming years, it would have positive impact actually in the coming years, every year in this magnitude of amount. With that, all the rest are stably like what we have expected pension cost of €44 million, which is every year, roughly at this number every year, we are reducing by €2 million or €3 million of spends on the cash out on the pension side, et cetera. And then we have the restructuring adjustments, the cash flow of €21 million on those. So that led to minus €46 million, we will not feel that. And that also means we have now a net financial debt ending position of €37 million. The leverage is still very, very healthy at 0.7 versus a maximum covenant of 3, also on the interest of covenant of 13.3 versus a minimum of 5. One good news also to mention is on the pension status. So you see we have -- here, you see the material countries of the -- material five countries overall have reduced by €51 million at a group level, total have been reduced by €53 million at the end of 2024, meaning we have actually a good reduction of €51 million on the asset side of our pension versus our liability. And therefore, the net pension has been reduced by €51 million on the material countries. Next is the division results.
Pascal Juery: Yes. And I take it back from here. So HealthCare IT -- so as you've seen and already touched on it for the full year sales slightly below due to the transition to the cloud, actually. But for me, the highlight of the results is really the order intake, plus 32% versus last year. Actually, at the end of Q3, we guided for plus 20%, 25%, and we ended up at plus 32%. It's illustrative today of the real momentum we have in the market and clearly due to the customer satisfaction and the image of Agfa in the market, which has been totally turned around, I would say. One good news in this order intake, also the good news is it's cloud related for about a little bit less than 30% -- and all of this increase is coming from net new customers. So I mean, when we have net new customers representing all of this increase of 30%, it means we are gaining share. We start gaining share, which is totally new for us and the total turnaround of where we were, I would say, a few years back. Also a very good indicator is recurring sales are growing actually, even if total sales are not growing. And this is also a testimony -- two things behind it, testimony to the shift to more and more recurring revenue model, of course, but also due to the fact that we are not losing any customer anymore. So we don't -- we have an SMA volume that is remaining constant. So it's a combination of the two. The EBITDA in spite of the sales top line decrease is actually improved due to the fact that indeed the sales we lost were rather lower margin sales and the progress we make is in higher-value services to make a long story short. And as you can see, also illustrated by the margin percentage, which continued to increase. So a rather good year. And as far as leading indicators are concerned, really excellent momentum for the business. If you look at the P&L, that pretty much illustrates what I just said, we continue to be very conscious regarding our operational expenses. Gross profit is increasing. And yes, the transition to the cloud has an impact for us in terms of revenue recognition and margin recognition. It delays the revenue recognition and the margin recognition. I would like to remind you that if I sell €100 million in project sales, pretty much it's going to be in my sales for the next year. If I sell €100 million of subscription model, I will have €20 million or €25 million in my next year sales, okay? So it has -- this transition has an impact. But today, we have a growth momentum that probably means we won't see such a dip. It will just limit our growth in the next years, but all this being excellent news for the business because turning project revenue into recurring revenue very stable. So overall for the numbers. If I go to the next slide. So really, really pleased by the year. I mean we -- it's a record profit number. It's a record order intake. We never had so much order intake in the year and records are made to be broken. I'm sure we'll do even better in '25. And I'm very confident it's going to be the case when I look at the dynamism of our commercial pipeline today. Cloud deals 27%. Remember that '24 was the first year where we were offering cloud solutions, and it's already a very sizable part of our future business. Net new customers, as I told you, for the first time, gaining share, meaning now we have still -- we have 2/3 project business and 34% recurring business in our order intake. What I'm probably the most proud of is really the customer satisfaction. The way we have improved in the class ranking, which is based on customer feedback is unprecedented, actually unprecedented. And for the first time ever, we have three best-in-class awards in the U.S. The first two are elements of our enterprise imaging systems that are being recognized. And the third one is actually the Transversal Award for the full HealthCare IT industry. And it's -- so it's testimony to the progress we've made in our products with our customers, must improve software. The features that we've been implementing are working extremely well in the market, and that's recognized. So very happy with HealthCare IT. It's a stellar performance, and I'm very confident going forward. DPC, also a very good year, 7% top line growth. But of course, DPC is like a small Agfa. So not everything is growth oriented in DPC. And if you look at the growth rate of our growth engines, 13% in Digital Printing and 27% in ZIRFON. Well, again, we delivered what we said we were going to deliver. And even in a rather subdued volume environment for ZIRFON and we'll come back to that in a couple of slides, we still are able to increase our sales significantly and also our bottom line actually. And for DPS, double digit, double-digit growth. We are fully delivering on our strategy. I mean the Inca acquisition works. We have made a number of launches that were successful in '24 and inks are increasing plus 15%. We are outgrowing the market in DPS, and we are basically doing what we told you we were going to do. When I look at the EBITDA, you see, therefore, a significant progression for DPC. Well, DPC and HealthCare IT are competing for the highest absolute EBITDA number in the group but I think we will continue to see in '25 very strong growth of this nature for DPC. We have everything it takes to be successful. If I turn to the P&L, you see that the growth also has accelerated during the year, meaning the growth of Q4, which is the most important quarter for us is plus 14.7%, while the growth of the full year is 7%. So the growth has accelerated during the year, which is normal due to our product initiatives impact and also the EFI partnership that took place more in the second part of the year. We keep our operational expenses under control, actually with the growth of the percentage on sales is decreasing steadily. The EBITDA number is not yet where we would like it to be, but we are making significant progress. So if I turn to the news on DPS, so -- why are we successful in this market? First, we are very active with our innovation, and we are launching new printers that has received a very good welcome in the market. And every time we launch new printers, these are larger, more productive, more film consuming printers. So there is also an improvement in the mix of what we do. So we have grown everywhere except from the onset -- the reason being we are renewing the onset for next year. So it was a kind of a transition period before the relaunch that we are forecasting for '25. EFI partnership works very well. We are very happy and think growth is exactly where we want it to be. Plus 15%, it means we're going to double our business every five years. We are also, as you know, made progress on SpeedSet. I think the beta situation at our customer in the U.K. is working well, and we expect to finalize actually the sale of the beta in the next -- at least in the first half and of course, we are confident that we'll do our first sales during '25. We have announced actually a couple of days ago the signing of formal agreement and partnership with BHS by which we are going to supply print engines for their corrugated lines, a monochrome one, a black one, if you want, and a polychrome one, and we will also have the ink opportunity regarding this partnership. So that's also a testimony to, I think, the fact that we are recognized as one of the leading players in the digital world. These jetliners are actually, I would say, the fastest digital printers in the world. And we continue also to gain market share in water-based decor. Decor is not a market that is very favorable for the time being, but digital is stating really the technology place of the future, and we expect the growth to firm up in the next year. Green hydrogen, maybe here a few comments. In any situation like that, we are leaving a bit the sobering moment from the highs of hydrogen two to three years ago to the reality of the market. So it's a normal process that would happen in any such innovation like green hydrogen. So globally, the number of new investments is decreasing, meaning the announcement for new projects are decreasing in terms of trend. But reversely, the number of FIDs, so final investment decision is increasing. So it's a contrasting trend. We know the first one is really the announced projects. And when you look at the sum of announced projects, it's an extremely high number, more than 1,000 gigawatts. But the FID is what we need to look at in order to make sure that we have a market reality on that. So actually, it's encouraging to see that investment decisions are increasing. Now geographically, we see different dynamics. And it's clear to say that Middle East, Africa, Asia are moving faster than Europe. I think Europe has also a tendency to regulate and until everything is absolutely clear in terms of regulation, it slows down a bit the development of hydrogen. But for us, it's not an issue. We have a global presence, and that's the point. We are coming also to a time where we have a number of electrolyzer producers and this market in this environment will probably rationalize or consolidate on a fewer number of large players. ZIRFON, we continue to be doing very well against this market backdrop of volume, I would say, where the volume increase is probably not what our customers expecting. So we are growing 27% in '24. We are expanding our customer base. We are selling now in Asia. We had another -- I think it's from Norway, right partner as well. And we have also set up now a few months back a lab to continue innovating with new versions of ZIRFON and we have promising stuff in our pipeline. And of course, the construction of the plant is on track. Radiology is much more competitive of course. Here on the left-hand side, you see minus 10% overall for the division for full year '24. But in fact, it's minus 16% for the film and it's plus 8% for the DR business. So very contrasted also within radiology, and the impact on the films quite tremendous in terms of volumes. And remember, this is before we are implementing our transformation program. We don't have yet the necessary adjustment in the cost base showing in the numbers and that's what we are working on. If you look at the P&L, same story. There was a bit of noise on the line. [technical difficulty] I think we are back online. I'm sorry for the interruption. It's not -- we just don't know what happened. So sorry, I was about to comment the P&L of Radiology Solutions. And I would say, as you've seen, we've been very busy also adjusting our expenses to the reality of the market, but not yet with the transformation program for the plant. And therefore, we had a significant impact on the volume decrease for film for the time being, and that's really the objective of the transformation program. If I look at our business, I think I already said the main element. We are also taking care of the CR, I would say, end-of-life technology. And we have also announced the shutdown of German plant where we were making CR components at the same time. So we are addressing the declining part of the business. Reversely, DR is still growing, and we are, I would say, outgrowing the market. And the way we do it is actually, we provide more and more AI-based and software-based innovation to the market, and that proves to be quite successful. We already had a strong imaging software in -- with MUSICA. But today, we are complementing this software with solutions that are embedded right at the point of care for our radiology solutions. And I think this is the way forward, and we are receiving a very good response from the market with this approach. So that's for radiology. I'm going to go now to the outlook '25. And to make a long story short, we expect the strong performances of the growth engines to continue in 2025. Of course, I'm saying that this outlook is based on the current economic environment. I think everybody knows that the environment has become a little bit more volatile since end of January, of course. And therefore, we have a little bit less view on some of these elements. But for us, we are staying the course and per division, as I told you, the momentum in order intake is expected to continue in '25. Probably our guidance, when I say our performance is expected to be roughly in line with last year or might be a bit conservative. But I'm cautious uniquely, as what I explained to you, meaning the impact on the going from more projects to cloud project, which is just delaying some revenue and margin confirmation. But I think we are still in an excellent position in this area. DPC, we will continue to grow as you've seen in '24 in both in DPS and in Green Hydrogen Solutions, even if the growth of Hydrogen Solutions don't expect a spectacular volume improvement. That's not going to be the case, but we will continue to grow our business and to improve our bottom line. And Radiology Solutions will be stable and we still believe that the decrease in the market will continue, but we'll be able to mitigate it through our transformation initiative. One thing where, unfortunately, we have not made any progress since we have been expecting the results of the expertise for Aurelius discussion regarding the purchase price agreement. We have been now eight months in the process. Unfortunately, we have no lever on the expert, which is an independent -- with an independent expert, and we are still waiting for the report. In spite of our numerous actions to follow up on that, we still do not have it. And I already discussed extensively about the transformation program on the film. So overall, we are going to address the film decline in a very significant manner with our transformation program, and we expect the continuation of the growth of our growth engines. Just a word on sustainability. We have committed to science-based target initiatives in terms of CO2 reduction in line with "fit for 55" program. We remain committed to this program, of course. It's about inclusivity. We will continue to work on that. The idea is even if we are amenable party, we need to make sure we work on inclusiveness and for everyone to have a chance the same opportunity in the company. So we continue to do that. Also working on the representation of gender in the company and of course, safety programs. I have to say that this is the second year in a row where we are decreasing the number of accidents by about 15%, and we expect to continue making progress in the same way for the next year. Last but not least, we are actively working, of course, on the CSRD reporting for sustainability for this year, even if it's a significant commitment in terms of resources, I must say, and it's quite a complex set of measures for a company our size given the number of activities we have, but we are actively working on it. So I'm going to stop here for Q&A, and I will first take questions from the room. But again, we are really on track to succeed Agfa transformation and the success we've seen in the growth engines is the testimony of this. While at the same time, we are not shy to manage our declining businesses through cost actions.
A - Pascal Juery: Turn it to Alexander.
Alexander Craeymeersch: Yes. Hello. Alexander from Kepler Cheuvreux. Based on your order intake, it seems that the order book in HealthCare IT is up with about 30%, 40% at year-end. You highlighted the excellent momentum in HealthCare IT with higher sales and recurring revenue, which has already become a sizable part of the revenue base. So I'm a bit confused as to why you guide for a stable performance in 2025. Could you clarify that how difficult please?
Pascal Juery: Yes. Just because of the nature of the order intake has changed. And again, if I was in a project base, you could roughly say that whatever you take in order intake for the year end will be revenue recognized in the year and plus 1, okay? So what you take in '24, you will recognize in the year and plus one but it's not anymore the case. And when you recognize the sale, you recognize the margin and therefore, the EBITDA. If you have now a recurring project, instead of putting these projects, this order intake as sales, it will be spread out five, six, seven, eight years, depending on the length of the contract, meaning that mechanically, the way you recognize your profit is also delayed. So going from a project model to a subscription model has a mechanical impact to delay revenue and margin recognition. So if we were in an environment where we were not growing, actually, you would see sales decreasing significantly and EBITDA decreasing significantly before during the transition year. okay? It's not the case here due to the fact that we are growing. So we can make up this mechanical effect due to the fact that indeed, our order intake growth is significant. But still, it means that all your growth, you will not get it in one go, you will get it spread it over many years. And this is the reason why we are guiding Typically, what you see in a business making a SaaS transition is a sales dip and a profit dip for two, three years. That's not what we are saying to our growth, we say we believe it will be at least at the same level. And I say maybe I'm a bit cautious or I have a cautious outlook. So already by doing that, it means that we are able to do that just because we have significant growth in the order intake.
Alexander Craeymeersch: Then how much growth do you actually expect in 2025 for ZIRFON? You mentioned the number of investments is up threefold or the decisions at least. So I'm wondering whether we should take that as a guidance.
Pascal Juery: No, no, no. You will not take it as a guide that we are going to multiply our business by three because there is a timing impact. what's your -- the growth of ZIRFON for....
Viviane Dictus: Yes, so in '24, we grew by close to 30%. I think in '25, we should see something that will be in the same order of magnitude. It will not be massively more is what we believe. We do believe that the market will pick up more than that, but it will be in '26 itself. We see now bigger projects being announced and companies again starting to look at real projects exceeding not just high-level trends, but it will become more for the -- beyond three years.
Alexander Craeymeersch: Then a bit of a maintenance question, and then I'll leave the floor to my colleagues because there seems to be a slight change in reporting as it didn't include effects of exchange rates this year. So considering the dollar was rather strong at the end of the year, I could only imagine that FX was positive, but maybe you can clarify how do you fix?
Pascal Juery: Viviane, Fiona, I don't know who wants to...
Fiona Lam: Actually it was a very full year basis, a very minimal effect, and that's why we didn't explicitly mention it anymore. Yes, it was minimal, not material in numbers.
Alexander Craeymeersch: Okay. Thank you.
Guy Sips: Guy Sips, KBC Securities. I do not want to spoil the party, but can you give us on the division by division and impact of potential U.S. tariffs? And what's your U.S. exposure division by division? And what could be impacted by tariffs?
Pascal Juery: Yes, of course. Well, first, it's a bit difficult for me to comment because it seems to be changing quite rapidly and on a frequent basis. But what -- the area where we are exposed is mainly because we have a Canadian plant for printers, okay? So of course, this is one plant that supplies the world and of course, North America. So we are exposed in this geography. But we also are working on contingency plans, okay? We have also a plant in the U.K. where we also assemble the printer, and we could imagine to use the U.K. plant as a backup. This being said, there is no talk of tariffs for the U.K. for the time being, but that could come tomorrow. So we'll manage according to what we see, but this is really the one specific exposure that I can point out. Now things are complex to understand also we might have positive impact, for instance, for DR because actually not some of our competitors are doing DR equipment from China. If they want to go to the U.S., they have duties. For the time being, we don't from Europe or the countries where we operate. But I'm very cautious because it could change tomorrow. So it's a little bit difficult to say. I don't think at the end of the day, what -- this specific impact for me of duties is more about the impact it has on the market itself, meaning in such uncertainty, we -- people are not making CapEx equipment decision. They say, I'm going to wait a bit to understand what's going to happen in the market. So for me, what worries me is, of course, the direct impact of the duties, but we have ways to mitigate it. But it's more about the impact on the market and the decision-making by customers as a head of -- when you run a business, I mean, you need stability in order to make a CapEx decision. And for the time being, I'm not sure the situation is stable, so to speak. But this is really the one area that we need to look at.
Guy Sips: You used the word China for the first time in this conference call after 45 minutes. I have to look at the transcripts over the last 15 years. I think it's first time that China is not mentioned that much. What's your situation in China in Radiology Solution?
Pascal Juery: I think I was about to say the situation in China. I mean when we are talking about the decrease of the medical market, that's mainly China. So that comes mainly from China, which is normal because basically China is more than 50% of the world market for sales. And the situation we are seeing in China is actually a market decrease due to some digitalization initiatives in China. So yes, I do mention China in the call.
Guy Sips: And then last question from my side is on the printing division. So BHS, you mentioned ink opportunity. Can you quantify that a little bit on a per device per year, what is the potential and on the SpeedSet, you mentioned that the beta will be sold probably in the first half of this year. What is the number of targets for this kind of machines on a full year basis.
Pascal Juery: I mean how many machines do we plan selling?
Guy Sips: Yes.
Pascal Juery: In BHS.
Viviane Dictus: Sure. So on -- in BHS, maybe a comment there. These machines, these are big machines. They take a long time to install. It's not like, let's say, our bigger sign and display printers, you're talking one to two weeks installs on these bigger sign and display printer -- bigger -- sorry, single pass printers, you're talking sales for betas several months. And over time, this should go down to maybe six weeks or so. But -- so clearly, in the first period, we will see equipment sales before we actually start seeing, let's say, substantial ink sales. We are indeed the preferred ink partner for BHS, but these will be open systems. So we will not be the only ink supplier, but for sure, we're one of the certified and preferred ink suppliers. So I would say you will see in '25, mostly equipment effect. You will see as of '26 also the ink starting to ramp.
Pascal Juery: But maybe talk about -- let's talk about the potential. These machines are consuming a lot of ink, actually.
Viviane Dictus: The monochrome machine will be not using so much ink, but still it's substantially very much more versus one of our own sign and display printers. You're talking somewhere between 2,000 and 10,000 liters of ink, and it's actually quite a big spread because you can imagine if you do an Amazon box with just a little bit of black comments versus a lot more on the box - a lot more. On full color systems, we will typically use up to 100,000 liters of ink per machine. Those are typically boxes that you print at least 50%, if not 100% of the box with full images. So there's quite a big gap between monochrome printer. Imagine an Amazon box on which you do small print versus a full color box.
Guy Sips: And competition there is on the Fuji.
Pascal Juery: There is actually limited competition today. HP has a machine in the market that we consider as a competitor. But I would say that the BHS machine is actually a first of class. We are not the exclusive supplier. So the question is who are we competing against?
Viviane Dictus: Today, we're not competing against. But okay. We just can, of course, choose to -- they have certain other partners that they work with, but it's not -- I cannot give you all the names of the people they're working with actually not for cheap.
Pascal Juery: These are smaller companies. And actually, when all this was done when it was Inca, not Agfa, of course, Inca didn't have ink, okay? So now we are coming to this game and part of the partnership will give us also access to a significant portion of the ink consumption.
Guy Sips: Thank you.
Maxime Stranart: Good morning. Maxime Stranart, ING. A couple of questions from my end as well. Firstly, if I look at radiology, obviously, EBIT of €1 million, if I recall correctly, for the full year. Could you elaborate a bit on the trends in between medical sales on the one hand and direct radiography on the other? I would presume that medical sales is in negative territory, but just like a few on that. Firstly, then just for my understanding, can you remind me in capitalized R&D U.S. in Agfa HealthCare and what to expect for next year as well? And then finally, I'm going to do like -- sorry to spoil party a bit, looking at offsets in the divestment, we were talking about €28 million. I think that's been two years already that we are talking about this. Any view on timing, certainty probability of success? Anything you can share on that?
Pascal Juery: Yes, sure. Okay. Capitalized R&D, you have the number on top -- we are capitalizing about €6 million, €7 million. It's part of the acceleration that is also showing in our ability, by the way, to have upgraded our product quite rapidly, and it will stay at this level. No change. Regarding your question on radiology, well, we're not disclosing actually the profitability for the various parts, but there are three components in radiology, CR, which is end of life, the film and DR. Actually, film, no, it is not money losing. It's not losing money even in the situation we are in today. And five years, we are still talking about the same amount. There is no change. It's just that we don't have yet a report by the expert. So nothing has changed. The work is just not being done today by the experts, okay? But nothing has changed. So the change you've seen has not changed. Our assessment has not changed at all. We are diligent in trying to make sure the expert is working on the file, but there is so much we can do. It's a joint, I would say, assignment with [indiscernible] and Agfa. And we have, I would say, unfortunately, no lever on the expert as it should be, by the way, as an independent expert. So I still expect the situation to resolve during the year, but I'm extremely cautious because frankly speaking, to have already an eight months period for our expertise is way too long, so to speak.
Maxime Stranart: You don't have like a specific date on which you go to payroll. I presume like if we're doing on [indiscernible] or whatever to the deadline.
Pascal Juery: There is no -- we have no deadline obligation by the expert. It's up to the expert to define the time they move to come up with the results.
Maxime Stranart: Thank you.
Unidentified Analyst: Yes. Hi. These guys already asked most of my questions, but I wanted to stand still at offset again, sorry. Just trying to get an inkling of do you have an idea on what's taking so long? Is it like -- is it workload that the experts of this? Or are there other things at play? Do you have any idea?
Pascal Juery: I do not.
Unidentified Analyst: You do not?
Pascal Juery: I do not.
Unidentified Analyst: And they don't offer an explanation because it's getting quite strange for us as outsiders to see as law.
Fiona Lam: There is a restriction because of the dependency that we are also restricted not to approach her too much. So we have to wait for the status and basically not like a normal situation where we can discuss time line and deadline and so we are not allowed to approach also too much.
Unidentified Analyst: And does Aurelius share your annoyance at the time line?
Pascal Juery: No. Because it's a bit different. They have to pay us cash. So they are not in a hurry. No, it's a bit unbalanced in this story because basically, of course, for Aurelius, it's okay to wait and not to pay us what is due. So of course, it's very unbalanced.
Unidentified Analyst: And then maybe one more very general question. You've discussed on the transformation not being a straight line. Do you have like an indication on when it does become straight line when like the fluctuations like kind of erode?
Pascal Juery: Then life -- in real life, you don't have straight lines, okay? I don't think it does exist. But I think the direction of travel is there and then you have always variation according to various events. But I think when I look at the megatrends, is green hydrogen going to be developing? The answer is yes, also it's needed. Do digital printing growing? This is the one growth technology in the printing market and which will develop and HealthCare IT, I mean, our solutions are absolutely well in tune with market expectations and the ability to actually process more people in a more cost-effective way in the health system. And in each of these businesses in ZIRFON, we have a market reference for the membrane for alkaline process. In DPS, in where we play, we are a leading player and the growth that we have is testimony to that. And in HealthCare IT, today, we have put back ourselves totally top of mind in this market. And therefore, we are enjoying not only the growth of the market today, but probably some share gain as exemplified by the order intake. Now it's never a straight line. And you cannot say, okay, I'm going to grow every quarter by 8%, okay? There will be always variation along the line, but the direction of travel is still.
Unidentified Analyst: On ZIRFON, is there any change in competition? And can you give us already an indication on how the capacity constraints are evolving. So the factory.
Pascal Juery: Competition. What...
Viviane Dictus: I mean it's clear that with the market that was honestly not there two years ago, and it is now starting to develop, there is also competition on the horizon. That being said, like we keep saying, we keep on being the reference supplier. We also are not sitting still. So we continue to invest in innovation. And together with our key customers and partners, we continue to invest in developing the next-gen enterprise.
Unidentified Analyst: Except for, let's say, the Chinese players and the one Japanese player that we know, are there other important names popping up?
Viviane Dictus: No. No, actually not. There is indeed competition popping up in China already for quite some time, some absolutely not successful, some a bit more successful but not with the level of innovation certainly that we have. And also operationally, I think we certainly have a head start with our plant and the new plant we're building. In terms of your second question on bottlenecks, our plant is still due for the start of second half of this year. So there will be -- certainly, with the market growth as it is today, there will be no capacity constraint.
Unidentified Analyst: On our side?
Viviane Dictus: On our side.
Unidentified Analyst: For sure.
Pascal Juery: Did we address your questions?
Unidentified Analyst: Yes, on this one. Yes.
Pascal Juery: Maybe a question on the phone. I know Laura is...
Operator: Indeed, we have a question coming from Laura Roba calling from Degroof Petercam. Please go ahead.
Laura Roba: Good morning, thank you for taking my questions. I have two. First of all, coming back on HealthCare IT. Based on your order book, do you have any visibility today on when this higher order intake will translate into higher sales? Are we talking two years, five years? I don't know. And then how should we look at the CapEx evolution for this year?
Pascal Juery: The CapEx evolution, you said, okay.
Laura Roba: Yes, for this year.
Pascal Juery: Yes, yes. I believe on HealthCare IT, actually, we are planning for '25 to see already an increase in sales. actually, relatively modest due to what I was explaining in terms of going from a project model to a subscription model, but we will already be growing the top line, we believe, in '25. And again, it's due to the fact that we have a high growth in order intake, even if we delay the revenue and margin recognition due to the subscription model. So yes, I mean, we're expecting -- we will probably -- we will grow in '25. And CapEx, CapEx this year was -- you've seen it €44 million. We expect about €10 million less for '25.
Operator: There are no further questions. So I will hand it back to the floor to conclude today's conference. Thank you.
Pascal Juery: Thanks very much. Thanks for attending the conference. And again, I want to repeat our strategy is well in place, demonstrated by the successful run of our growth engines. I think we made the right choices, and we are operating the businesses. We've been improving the way we've been operating these businesses and their performance. And again, we are absolutely committed to address the situation we see on the film market to preserve the profitability of this business for Agfa in the years to come through our transformation program. And here, the execution is really starting after the successful agreement we have in place with our social partners. So thanks very much, everyone, and have a good day.
Operator: Thank you for joining today's conference. You may now disconnect.